Operator: Good morning, ladies and gentlemen. My name is Denise, and I will be your conference operator today. At this time, I would like to welcome everyone to the Brookfield Infrastructure Partners Q3 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remark there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Melissa Low, Vice President of Investor Relations. Please begin.
Melissa Low: Thank you, operator, and good morning. Thank you all for joining us for Brookfield Infrastructure Partners’ third quarter earnings conference call for 2018. On the call today is Bahir Manios, Chief Financial Officer; and Sam Pollock, Chief Executive Officer Following their remarks, we look forward to taking your questions and comments. At this time, I'd like remind you remind you that in responding to questions and in talking about our growth initiatives and our financial and operating performance, we may make forward-looking statements. These statements are subject to known and unknown risks, and future results may differ materially. For further information on known risk factors, I would encourage you to review our annual report on Form 20-F, which is available on our website. With that, I'll turn the call over to Bahir.
Bahir Manios: Great. Thank you, Melisa, and good morning everyone. Financial results for Brookfield Infrastructure in the third quarter were solid, reflecting the regulated and contractual cash flow that underpin our operations. Our results continue to benefit from solid organic growth across the business driven by inflation and taxation across the majority of our businesses, higher volumes delivered through our transport and energy networks and the commission of growth projects into earnings. 2018 has been an active year on the capital deployment front, having exceeded our annual new investment target of $500 million to $1 billion. We recently invested over $600 million in a North American Residential Infrastructure business. In addition, we advanced our acquisition of our western Canadian midstream business where will be deploying $525 million. We recently also closed on the provincially regulated portion of the business, investing 265 million and expect to close the federally regulated portion in mid 2019. We also continue to advance on closing three other transactions in which we will deploy in total approximately 600 million. These investments are expected to generate an average going in funds from operations or FFO yield of over 10%. Looking ahead, we’re very well positioned to generate strong FFO per unit growth of almost 20% on a run rate basis, beginning in the second half of 2019. With the recent deployment of capital, this more than makes up for the FFO gap from our recent past of sale and capital raises. More importantly, the future upside in the acquired assets is expected to be substantial and this will stand us in good shape to continue to grow our FFO in the future. So just on our overall results, our business generated FFO of 278 million or $0.71 per unit during the first quarter of 2018, results benefited from another period of strong organic growth, which enhanced our results, by 8% on a on a constant currency basis. We’re very pleased with the performances of each of our operating groups, as our businesses continue to perform in most cases ahead of their plans. Notwithstanding the fact that our current results were impacted by the loss of income from a very successful asset sale and the impact from a stronger U.S. dollar, underlying fundamentals are very strong and our outlook remains positive for the balance of the year and beyond. Our utility segment generated FFO of 530 million benefiting from solid underlying performance and same-store income that increased 4% year-over-year. The increase was partly due to substantial connection activity in our UK regulated distribution business as well as capital commissioned into our rate base. This compares to 170 million of FFO in the same quarter last year, which included our Chilean operations sold last quarter and costs associated with the debt financing recently completed at our Brazilian regulated transmission business as well as the impact of foreign exchange. At the end of July, our UK regulated distribution business order book reached 1 million connections its highest ever. We secured 129,500 connections to-date in 2018 and that’s 10% ahead of the prior year, which was a record year for our business. Year-to-date sales are strong, including several notable deals in the third quarter. We’re also very encouraged by our current projections that indicate that this momentum is sustainable heading into 2019. We recently acquired a controlling stake in Gas Natural Colombia, the second largest gas distribution network in the country. Since closing our asset management team has been very focused on transitioning the Company into a decentralized operating business. We recently hired a new CEO and internalize a number of processes which were previously provided by its parent. We’re also working towards executing several exciting growth opportunities in this business over the next 6 to 12 months. The transport segment contributed FFO of 119 million. Results were positively impacted by higher tariffs charged at each one of our operating groups. Results at our rail business benefited from increased agricultural volumes, but these positive impacts were offset by lower volumes from our minerals customers, and the hand back of one of our state concessions in our Brazilian toll road business. FFO in this segment was also reduced by $15 million as a result of foreign exchange, primarily the result of the conversion of income from our businesses to close to 20% lower FFO in U.S. dollars. The energy segment reported FFO of 59 million in the third quarter. This represents a 23% increase over the same period in the prior year, reflecting higher transport volumes due to strong gas production growth across North America. Our district energy operations benefited from new customer additions and warmer weather, which increased throughput in our North American business. Our North American natural gas transmission business commissioned its first phase of its Gulf Coast expansion on October 1. The project which require total capital investments of $100 million on a net to BIP basis was delivered on time on scope and within budget and is expected to increase our EBITDA in that business by roughly $25 million per year. Concurrently, one of the large LNG producers in the region has also announced a project to increase capacity and its Corpus Christi facility and as a result, we will be proceeding with the Phase 2 of NGPL's Gulf coast expansion, which will require $230 million of capital for annual EBITDA of 50 million, BIP's share of those two numbers being 115 million and 25 million respectively. Our North American district energy business was recently selected to own and operate two large scale systems in Colorado and New York State. The City of Denver engaged our business to plan and build the system for the National Western Center and newly designed 3 million square foot smart campus. This 250 acre facility will double the footprint of the previous building and is expected to attract over 2 million annual visitors and host over 400 annual events, including Colorado's largest agricultural convention. Additionally, our business was selected by prominent U.S. educational institution to exclusively negotiate a transaction to acquire modernized and management its district energy system. The project consists of three plants and the distribution infrastructure will ultimately consist of over 6 miles of steam piping and over 2 miles of chilled water piping. These opportunities are high-profile, strategic winds that expand our U.S. footprint, and on a combined basis represent total investments of approximately $300 million or 120 million net to BIP through long-term concession contracts back by quite high quality investment grade counterparties. The data infrastructure segment contributed FFO of 19 million for the period, which was consistent with prior year. During the period, we were very pleased to have won the tender for the renewal for Eiffel Tower lease, allowing us to continue broadcasting frequencies to one-fifth of the French population from the top of this landmark. This 10-year extension goes into effect in March 2019, adding to the stability of our broadcasting platform. We also completed the commercial launch of our first fiber to the home tender. Our business rolled out 25,000 connections and is receiving positive commercial feedback. This is a meaningful milestone for our business. And finally before I conclude my remarks this morning, I wanted to briefly touch our liquidity position in foreign exchange. First, during the period we replenished our corporate liquidity. In anticipation of completing several investment initiatives, we enhance our liquidity through a number of successful capital issuances, raising CAD700 million in the Canadian debt and preferred share markets which brought corporate liquidity to almost 2.5 billion at the end of October. With this level of liquidity, we're able to fully fund all our committed transactions and organic growth backlog. Second, on foreign exchange, a weakening Brazilian real and lower rates on our Australian dollar and British pound hedge contracts reduced our results by $40 million during the period. We expect this negative trend to reverse in the future as our average hedge rates for the next two years are over 5% higher than 2018. In addition, we're of the view that the Brazilian real will recover from these nearly trough levels, which was impacted in the quarter from uncertainties surrounding the country's recent elections, which is now behind it. We recently executed on our on our hedging strategy with respect our near-term cash flows from Chile, Colombia and Peru. And in addition to that, we’re also prepared to enter into hedge contracts to lock in a portion of our near-term cash flows generated in our Brazilian businesses, should there be a continued recovery in that currency. It is our objective to have between 80% to 85% of our total FFO be either generated in or hedge back to the U.S. dollar on a go forward basis. So with that, I will turn the call over to Sam.
Sam Pollock: Thank you, Bahir, and morning everyone. My agenda for the call today is to review our focus on investments in energy midstream then I will provide an update on strategic initiatives that we have underway and I will conclude with an outlook for the business. We held our Annual Investor Day in New York in September and I would like to thank many of you who came out to join us. For those of you who were unable to join us, I invite you to view the presentation on our website. Now, let me begin. Over the past three years, our energy business has experienced transformative growth. We build a global portfolio of attractive energy midstream assets and growing cash flows from the sector by nearly four times. Soon spanning four countries, these operations play a key role in the gathering, processing, storing and transporting of natural gas. We build this business by capitalizing on contrarian views during periods of dislocation and market volatility. There are three key reasons why we have confidence in the midstream sector. First, we like its core infrastructure characteristics. These assets are strategically located, difficult to replicate and have a strong contracted cash flow profile. Their scarcity value is supported by the fact that they are often the only connections between supply and demand centers. Second, the business we own have significant growth potential with the emergence of new resources and growing demand, there is a large funding for infrastructure build out making these assets prime to benefit from future growth. And third, we are well established owner and operator. With almost 40 years of energy investment experience across Brookfield, we have deep institutional knowledge and access to market intelligence, which provides us with a competitive edge in identifying discrete opportunities. The scale of the North American natural gas market is unparalleled, given the massive transformation we’ve seen over the last 10 years. Both supply and demand are at all-time highs, requiring substantial amounts of infrastructure to help move and store this commodity. We believe that there is approximately $150 billion of energy infrastructure investment opportunities in the U.S. alone. This is comprised of roughly $100 billion of capital required for midstream development through 2021, with the balance representing potential investments in MLPs, many of whom are seeking structural simplification. This has created a large pipeline of prospective proprietary transactions of scale, through corporate carve-outs, partnerships and privatizations. In the coming years, we are optimistic about our ability to continue to grow our presence in the energy sector. Now let me move on to our current initiatives. In our last quarterly call, we outlined our plan to deploy up to $1.7 billion into new investments in the latter half of 2018 and 2019. Over the past few weeks, we've invested approximately $900 million of this amount, including $603 million in a North American Residential Energy Infrastructure business. In addition, we complete the first phase of our western Canadian midstream business acquisition, with Phase 2 on track to close in mid-2019. Once Phase 2 has close our investment in midstream business, which we've now renamed North River midstream will be approximately 500 million. Staying with energy, we are also in advanced bilateral discussions to acquire a 1,500 kilometer gas pipeline in India. This well located pipeline draws from a prolific Krishna Godavari basin and spans the country from East to West. It will also provide secure cash flows generated under a 20 year take-or-pay contract with the largest company in the country. If successfully concluded, total equity investment by Brookfield and its institutional partners will be approximately $1 billion of which Brookfield infrastructural will invest approximately 200 million. Lastly, in our growing data infrastructure business, in the third quarter, we reached an agreement with a strategic partner to acquire a co-controlling interest in Ascenty, the leading hyper-scale data center operator in South America, for close to $2 billion. Brookfield Infrastructure and its institutional partners will be investing $759 of which BIP's share will be approximate 200. We expect to close this transaction along with the acquisition of our U.S. data center business, which we discussed our last call by the end of 2018. Now moving to our outlook. From a global macroeconomic and political perspective, the third quarter has been eventful. Headlines were dominated by concerns over global trade war, volatility in capital markets as a result of rising interest rates, political uncertainties with respect to Brexit negotiations and of course elections in South America. However, at an operational level, none of these events have had a meaningful and direct impact on our overall fundamentals and business conditions remained solid in all of our key markets. All-in-all our outlook is positive as our financial position remains strong and much of the business is underpinned by networks with high barrier to entry and cash flow that are highly regulated and contracted. We believe that Brookfield Infrastructure's investments and corporate finance strategies should allow us to prosper in any economic conditions. Now our primary focus for the balance of the year to close our advanced transactions, integrate the newly acquired businesses into our various operating groups and execute on our organic capital project backlog bringing these projects to completion on time, scope and budget. We are also seeing many opportunities to continue to expand our globally diversified business with very high quality investments and with tremendous flexibility and financial resources to pursue them. With that, I will now pass it back to the operator to open the line for questions.
Operator: [Operator Instructions] Your first comes from Cherilyn Radbourne with TD Securities. Your line is now open.
Cherilyn Radbourne: Sam, maybe I could start by asking you for your thoughts on the recent election results in Brazil and what implications that has for our business conditions?
Sam Pollock: Hi Cherilyn, I figured someone might ask us about that. Look, I think our main view on the results is that it's a positive outcome definitely relative to the alternative. The new President has appointed what we believe to be a very friendly, market friendly finance minister. Everything that they indicate that will be there plan going forward regarding various reforms, to the way the economy is structured, to fact that they're going to increase privatization is all very positive to us. We've also seen a recovery in the exchange rates, which are pretty immediate once it was clear that he was going to be successful. So, I'd say all-in-all we're positive and optimistic about the next four years.
Cherilyn Radbourne: And then switching track, I wanted to ask about the District business energy winds you announced this quarter, which was quite nice and meaningful insight. Can you give us a sense of the pipeline of opportunities behind that, that you continuing to peruse? Can you just comment on whether these opportunities are sort of inbound a BIP or whether you have a team that's out scouting them?
Sam Pollock: I will cover that one. Look, we’re quite excited about those two particular situations. At this stage, I would caution that we've been selected as the preferred proponents so we still need to secure and sign up the transactions, but there is no reason why that should happened. But further to your question, I guess, regarding how we pursue these opportunities? And how big our pipeline sits at the moment? We do have a fairly large team that out there is looking for new opportunities. As we discussed in the past, we think that the sector is highly fragmented particularly in United States and there is lots of opportunities to grow this business. Today, our sales pipeline has over 400 opportunities in it. And when I talk about the sales pipeline, this consists of like systems like the ones that we referred to in our letter as well as just new customers we might connect to the system. And of those, today, we have probably close to 30 that signed but our waiting legal drafting and then we probably have another 50 to 70 that would be in a proposal stage. And then at least another, the balance of them which would be several 100 that are in the outreach phase. So, we think there is lot of opportunities to grow the business. My only caution is that the lead time in bringing these leads to fruition is relatively long. So, I think it just goes to the pent up demand the fact that this should be continuing growing business, but one that you won't see leaps in its results in the near term.
Operator: Next question comes from Rupert Merer with National Bank. Your line is open.
Rupert Merer: Just following up on the Brazilian market, you have a more positive outlook for the market. If you see privatizations, would you consider making additional investments in Brazil at this point?
Sam Pollock: Rupert, I'll tackle that one. Look, we're always looking for good opportunities. So, if something comes up that we think is exceptional, we will pursue it. I think our main focus in Brazil at the moment is in fact building out our existing platforms. As you know, we have many strong franchises in the country weather it would be the gas business, the electricity transmission business, the rail and the roads. And so, that's already very broad and each one of those businesses has great opportunity for tuck-in acquisitions and expansions. Probably, the most near-term opportunity for us would be participating in some of the auctions that will take place for transmission lines in the coming months at least this one coming up in December that we will participate in. And so, our focus is really today is about building out those businesses, building out our newly acquired data center business, and probably less so on new investments. But again, if something pops up that’s interesting, we will definitely consider it.
Rupert Merer: And then sticking with Brazil with moving over to the transport sector, you had one concession handed back in the quarter. Can you give us some color, how large was that concession? And also a little color on the maturities you might see in those concessions in the next couple of years and any opportunities you may have to extend those concessions with the reinvestment?
Bahir Manios: Rupert, I'll start and maybe Sam will jump in as well. But with respect to the magnitude on the hand back from an FFO perspective, it's about 6 million to 7 million a quarter and just with respect to maturities, I believe we have one also coming due next year and that will be also same magnitude as this one albeit it will take place in the latter part of the year or in the backend of 2019.
Sam Pollock: And just to add onto that. Last year, we were successful in securing a new road which was a package consisting of an existing road that was expiring as well as additional roads around that the government had foot in with it. And so I'd say, there is sort of a recycling of these roads as the first generation expire and parties like yourself, and it's relatively few players in the market that are participating in government options. And so, we expect that we would be replenishing our roads on a very regular basis.
Operator: Your next question comes from Andrew Kuske with Credit Suisse. Your line is now open.
Andrew Kuske: Maybe just a specific question to start on Dalrymple Bay, and if you can give us a regulatory update on the regime that’s in placing any kind of progress on getting market price?
Bahir Manios: Andrew, we don't have any update on that at the moment. We don't expect that there will be any -- just to provide a bit of a timeline, the QCA will make its view known on our submission probably at the end of this quarter, December is our expectation. And then, the minister you will make a final decision regarding moving to market pricing, sometime in the first or second quarter of next year. And the views of QCA are just recommendations. She can make her own decision either going along with the QCA's recommendation or take her own view.
Andrew Kuske: And maybe just a broader question just on your data business and the recent investment in Brazil, do you look at your positioning in Brazil something that we can scale and grow significantly beyond the initial investment and then effectively port that knowledge into other marketplace?
Sam Pollock: So, the answer to the question is, yes and yes. We were pretty excited by the partnership that we have a Digital Realty. They obviously have fantastic existing relationships with all the tech companies and cloud computing companies. We've got I believe a second to none platform in South America and Brazil in particular. And so in fact already we have begun to source opportunities to take that business outside of Brazil and into Colombia, and so we're looking at a few opportunities there that have come our way, and I think marrying of our local expertise and knowledge with their relationships should turn us into a very large business.
Andrew Kuske: So it may be just an extension and do see opportunities to expand that then into Chili, Peru like your core markets in South America?
Sam Pollock: Yes, so, the business plan this is a South American business, not just a Brazil business. So, we look to take into Peru, Chile, Columbia and Brazil, if possible.
Operator: [Operator Instructions] Your next question comes from Frederic Bastien with Raymond James. Your line is open.
Frederic Bastien: A few years back you identified water infrastructure as a platform of potential interest, but it has recently taken a backseat to other priority factors. Are you still looking at that sector with interest? And are there any opportunities and you may be considering during the next quarters or years?
Sam Pollock: Frederic, we still are very positive on the water sector. It happens to be one that is more challenging to get into much like airport I guess highly sought after and the opportunities are fairly rare. It's not as bigger sector as you might think. It's not big in private ends. We have a couple of opportunities that we are looking at in South America at the moment. It's a little unclear whether or not they will proceed or whether not they'll meet our underwriting standards. So, I can't give you an estimate to when we will make another investment in water. We continue to progress the desalination project in California. We remain excited about that particular business. It's obviously been a very slow permitting process, but we are hopeful that in 2019 with the new governor in place that will have a focus for to bring that forward.
Frederic Bastien: And the other question I have, when we think of the Brazilian pipeline that you purchased I guess couple of years ago, you increasing interest last year. My question relates to the rest of your portfolio, are there any other assets in which you could increase your stake in over the next couple of years or is that not possible to do?
Bahir Manios: So I guess I'm just thinking quickly about that. At the stage, obviously, our ability to increase stakes in our assets is depended upon our various partners and whether or not they are looking to reduce the amount of capital they have in the particular business or if they don't want to participate in the capital projects. There are always situations where we have partners who have less capital than we do and so there's that possibility. I'm just not sure to be honest that it would be fair for me to comment about that because many of them are public companies, and it's probably not right for me to say something.
Operator: Your last question comes from Jeremy Rosenfield with Industrial Alliance. Your line is open.
Jeremy Rosenfield: I just had one question on sort of opportunity in the U.S. energy infrastructure space in particularly with regards MLPs. Is there a specific hurdle or something that you're waiting for before you're able to execute on one of these opportunities? Maybe I'm thinking here decision from FERC in terms of regulatory items?
Sam Pollock: I guess the only thing that is a hurdle, it's not so much any regulatory issues, but a lot of these situations, it's just a matter of reaching a commercial arrangement with the various either capital raisers or sellers, obviously, in many cases, they're just a bit spread. A lot of these MLPs enjoyed great access to the capital market for a number of years, that’s not falling the way. A number that I am still remembered, the share price they traded at, they -- our low to sell assets that they might have held on a 100% base many years. So, it just a matter of the current market conditions settling in, and there being accustomed to a new paradigm, and then us agreeing on a transaction that makes sense. But we have a number of questions that we are underway with various parties and we're hopeful that in the coming quarters or years, we will be able to progress them.
Operator: Next question comes from Ryan Levine with Citigroup. Your line is now open.
Ryan Levine: Just a follow-up on the last question. Could you provide some color in terms of what assets classes or types of midstream, U.S. midstream opportunity you'd be considering? And would you be open to stepping in to support some of the historic dropdown stories to help facilitate some of their organic and feature you got them?
Sam Pollock: As relates to the types of opportunities, as you can probably tell from my comments, we have strong interest in natural gas. We think the dynamics in that sector are probably on a long-term basis a bit more attractive than some of the liquid pipelines. But nonetheless, I think we would consider both and just take into account in various differences in long-term outlook. One of the things and you touched on the dropdown stories, yes, that is something that we have also very much identified as an opportunity. And for those on the call, what we referring to the fact that many of the large integrated companies use to rely on MLPs as a source of capital to dropdown some of assets at which they would recycle a capital back into their other operations. And a number of the large integrated companies that that have these subsidiaries no longer can use the capital markets. And so we have approached all them, all these company have alternatives to their dropdown strategies and again, those would be situations that we are hopeful over the coming quarters and near to strike relationships where we can be acquired for those assets as opposed them and continue dropping down into their subsidiaries. At early days because all this market volatility is relatively new, but we do think that these represent great long-term opportunities for us.
Ryan Levine: Then just one follow-up. I think in your prepared remarks which highlighted the NGPL expansion to Corpus. If there is additional change about the corporate, do you see further expansion opportunity there?
Sam Pollock: Yes. I guess the short answer is, yes. We continue to have open season to check demand from various customers. Today, I think we have met the various demands out there, but our expectation is that with the continued growth in production that there will be further expansion opportunities going forward.
Operator: I would now like to turn the call over to Sam Pollock for closing remarks.
Sam Pollock: Thank you, operator, and thank you everyone for joining our call this morning. We look forward to updating you on our progress next quarter. And on behalf of the management team, we wish you all the best for 2018 and the upcoming holiday season. Thank you.
Operator: This concludes today's conference call. You may now disconnect.